Operator: Greetings, and welcome to the Union Pacific First Quarter 2024 Conference Call. [Operator Instructions] A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded, and the slides for today's presentation are available on Union Pacific's website.
 It is now my pleasure to introduce your host, Mr. Jim Vena, Chief Executive Officer for Union Pacific. Thank you, Mr. Vena. You may now begin. 
Vincenzo Vena: Thanks, Rob, and good morning to everyone. Beautiful day in Omaha, 60 degrees, a little bit of rain. It is absolutely perfect for railroading. So why don't we get started? And thank you for joining us today to discuss Union Pacific's first quarter results.
 I'm joined in Omaha by our Chief Financial Officer, Jennifer Hamann; our Executive Vice President of Marketing and Sales, Kenny Rocker; and our Executive Vice President of Operations, Eric Gehringer.  
 As you'll hear from the team, we continue to execute our multiyear strategy to establish Union Pacific as the industry leader in safety, service and operational excellence. We, again, took positive steps towards that goal in the first quarter. While challenges outside our control persists, we are establishing a foundation for long-term success.
 Now let's discuss first quarter results starting on Slide 3. This morning, Union Pacific reported 2024 1st quarter net income of $1.6 billion or $2.69 per share. This compares to 2023 1st quarter net income of $1.6 billion or $2.67 per share. We're pleased to be able to report earnings growth in a tough environment, especially since last year's results included a $0.14 per share real estate gain.
 First quarter operating revenue was flat as solid core pricing gains and a positive business mix were offset by lower fuel surcharge revenue and reduced volumes. Normalizing for the impact from fuel surcharge, freight revenue was up 4% versus last year. Expenses year-over-year were down 3%, driven by lower fuel prices and productivity gains. This was partially offset by inflation, increased transportation workforce levels to compensate for new labor agreements and higher depreciation. 
 Our first quarter operating ratio of 60.7% improved 140 basis points versus last year. This also represents a 20 basis point improvement sequentially from the fourth quarter, which further demonstrates the strong work by the team. Look, it's a great start to the year. I'm pleased with how the Union Pacific team is coming together to unlock what's possible for our company. But there's a lot of work to do. I'll let the team walk you through the quarter in more detail, and I'll come back and wrap it up before we go to question and answer.
 So with that, Jennifer, why don't you go through the first quarter financials? 
Jennifer Hamann: All right. Thanks, Jim, and good morning. I'll begin with a walkdown of our first quarter income statement on Slide 5, where operating revenue of $6 billion was flat versus last year on a 1% volume decline that was significantly driven by a 20% reduction in coal shipments. In fact, excluding coal, volumes would have been up close to 2% year-over-year even in this tough freight environment.
 Looking in at the revenue components further, total freight revenue of $5.6 billion declined 1%. The single largest driver of the year-over-year decrease was a 25% reduction in fuel surcharge revenue to $665 million as lower fuel prices negatively impacted freight revenue 375 basis points. Solid core pricing gains and a favorable business mix combined to add 350 basis points to freight revenue. Reduced coal and rock shipments as well as increased soda ash and petroleum carloads drove the positive mix dynamic. Excluding fuel surcharge, freight revenue grew 4%, a solid start to the year and a demonstration of the great diversity of the UP franchise. 
 Wrapping up the top line, other revenue increased 4%, driven by increased accessorial revenue that included a one-time contract settlement of $25 million. Switching to expenses, operating expense of $3.7 billion decreased 3%, as we generated solid productivity against lower demand. Digging deeper into a few of the expense lines, compensation and benefits expense was up 4% versus last year. First quarter workforce levels decreased 2% as reductions in non-transportation employees more than offset a 4% increase in our active TE&Y workforce. Although our training pipeline is significantly reduced, we continue to carry additional train services employees as a buffer for our operations and to offset the impact of newly available sick pay benefits and work rest agreements.
 While talking about workforce levels, I do want to mention one quick housekeeping item. As some of you might be aware, we are in the process of transferring operating responsibility for certain passenger lines in Chicago to Metro. As part of that, in June, we will be transferring around 350 mechanical employees to Metro. On a quarterly basis, this will lower both revenue and expense by roughly $15 million. Cost per employee in the first quarter increased 5%, reflecting wage inflation and additional costs associated with new labor agreements. Fuel expense in the quarter declined 14% on a 13% decrease in fuel prices from $3.22 per gallon to $2.81 per gallon. 
 We also improved our fuel consumption rate by 1% as locomotive productivity more than offset a less fuel-efficient business mix given the decline in coal shipments. Purchased Services & Materials expense decreased 6% versus last year, as we maintained a smaller active locomotive fleet, and our logistics subsidiary incurred less drayage expense. In addition, a little less than half of the year-over-year variance related to resolution of a contract dispute. 
 Finally, Equipment & Other Rents declined 8%, reflecting a more fluid network seen through improved cycle times and lower lease expenses. By controlling the controllables in our cost structure, first quarter operating income of $2.4 billion increased 3% versus last year. Below the line, Jim noted last year's real estate transaction and other income, and our interest expense declined 4% on lower average debt levels. First quarter net income of $1.6 billion and earnings per share of $2.69 both improved 1% versus 2023. And our quarterly operating ratio of 60.7% improved 140 basis points year-over-year, which includes a 60 basis point headwind from lower fuel prices.
 Turning to shareholder returns and the balance sheet on Slide 6. First quarter cash from operations totaled $2.1 billion, up roughly $280 million versus last year. Growth in operating income as well as the impact from 2023 labor agreement payments are reflected in that increase. In addition, free cash flow and our cash flow conversion rate both showed nice improvements. As planned, we paid down $1.3 billion of debt maturities in March. That resulted in our adjusted debt-to-EBITDA ratio declining to 2.9x at the end of the quarter, and we continue to be A-rated by our 3 credit rating agencies. Also during the quarter, we paid dividends totaling $795 million.
 Wrapping things up on Slide 7. As you'll hear from Kenny, our overall outlook on the freight environment hasn't changed a lot since January. Yes, there have been some pluses and minuses from our original outlook, but in totality, we still see the same economic uncertainty. What I am certain of, however, is that our service product is meeting and will continue to meet the demand in the marketplace. And when volumes strengthen, we will be ready to provide our customers with the service they need to grow with us. In addition, as evidenced by our first quarter results, we will continue to generate productivity that improves our network efficiency.
 Also demonstrated by those first quarter results is our commitment to generating pricing dollars in excess of inflation dollars. If you set fuel aside, our price commitment as well as expectations for positive mix in 2024 should allow us to pace freight revenue ahead of volume.
 And finally, with capital allocation, we plan to start -- restart share repurchases in the second quarter, a further demonstration of the confidence we have in our strategy and the momentum that is building. The actions we're taking to improve safety, service and operational excellence are reflected in our financials, and continuing on with this strategy will drive shareholder value in 2024 and well into the future.
 Let me turn it over to Kenny now to provide an update on the business environment. 
Kenny Rocker: Thank you, Jennifer, and good morning. As Jennifer mentioned, freight revenues totaled $5.6 billion for the quarter, which was down 1% as core pricing was offset by lower fuel surcharges and a 1% drop in volume. 
 Let's jump right in and talk about the key drivers in each of our business groups. Starting with Bulk, revenue for the quarter was down 4% compared to last year on a 5% decrease in volume and a 1% increase in average revenue per car. Solid core pricing gains across most Bulk segments were largely offset by low natural gas prices that unfavorably impacted our coal index contracts and lower on fuel surcharges. 
 As stated, coal continued to face difficult market conditions in the first quarter as warmer temperatures overall led to record low natural gas prices and caused significant declines in demand. Grain and grain products volume was up for the quarter with increased shipments of corn to Mexico as well as more shipments from Canadian origins. Lastly, despite strong truck competition, food and refrigerated shipments increased as a result of new business for dry goods solid demand and network service improvement.
 Moving to Industrial. Revenue was up 4% for the quarter, driven by a 1% increase in volume. Strong core pricing gains and a positive mix in traffic were partially offset by lower fuel surcharges. Our strong business development efforts in petroleum allowed us to capitalize on windows of opportunity along with new domestic contract wins. Demand improved for our Petrochemicals business in both export and domestic markets. However, challenges with high inventories and weather negatively impacted our rock volumes. 
 Premium revenue for the quarter was down 3% on a 1% increase in volume and a 4% decrease in average revenue per car, reflecting lower fuel surcharges and truck market pressures. Automotive volumes were positive due to business development wins with Volkswagen and General Motors, along with continued strength from dealer inventory replenishment. Intermodal volumes were positive in the quarter, driven by strong international West Coast demand, which was partially offset by the international contract loss I mentioned in January and soft market conditions in domestic intermodal.
 Turning to Slide 10. Here is our 2024 outlook as we see it today for the key markets we serve. Starting with Bulk, we anticipate continued challenges in coal as inventories are projected to be at record levels and natural gas futures remain depressed. We are hopefully watching grain, particularly as it relates to new crop conditions and fourth quarter export demand. We expect domestic grain demand to be stable. 
 Lastly, we are optimistic about grain products, as we continue to see growth in biofuel feedstocks. Additionally, we recently won incremental grain products business out of Iowa that started moving earlier this year by demonstrating our consistent service products and developing competitive solutions to support our customer's business. 
 Turning to Industrial. The rock market will be challenged to exceed last year's record volume. However, we expect petroleum and petrochem markets to remain favorable due to our focus on business development, supported by our investments in the Gulf Coast and operational excellence.
 And finally, for Premium, on the intermodal side, we expect to see consistent, strong West Coast imports in the near term, but it's still too early to predict what will happen in the back half of the year. On the domestic intermodal side, we continue to see market softness, but expect our strong service products and diversified set of IMC and private asset partners will set us up well when demand returns. For Automotive, we will see continued strength due to our business development wins and improved OEM production. 
 In summary, coal and domestic intermodal will put pressure on our volumes this year, but the team has taken action. As you saw in the first quarter, excluding fuel, we were able to grow revenue even as we face lower volumes overall. I am confident that with our improved service products, we will continue to win new business and take trucks off the road. On the price side, we are having deliberate conversations with customers on price increases to overcome inflationary pressures. And those conversations are backed up by an efficient service product that Eric's team has given to our customers so that they can compete and win.
 We have a great franchise, along with being the premier cross-border rail provider to and from Mexico that positions us well to serve markets in both the U.S. and Mexico. Our legacy service and the new service offerings we've added allows us to win in the marketplace, and we see strong opportunities in front of us to grow with our customers. 
 And with that, I'll turn it over to Eric to review our operational performance. 
Eric Gehringer: Thank you, Kenny, and good morning. Moving to Slide 12. We exited 2023 with strong operational momentum across the board. And while weather quickly presented its challenges, the team rose to the task. The speed with which our service product recovered is a testament to our strategy and the resiliency of our network. We continue to see meaningful year-over-year improvements in our metrics. This is a direct result of our steadfast focus on providing industry-leading safety, service and operational excellence.  
 Starting with Freight Car Velocity. Improvements in terminal dwell and overall network fluidity led to a 4% improvement compared to first quarter 2023. Sequentially, Freight Car Velocity declined 6%, primarily due to shifts in product mix between our Bulk, Manifest and Intermodal services. Particularly, we are seeing an impact from declines in Intermodal and Bulk shipments, which generally contribute higher average daily car miles. Key is that our service product remains consistent, and we are delivering what we sold to our customers. We want our customers to win. And if they win, we win. 
 To further deliver on the service we sold to our customers, we recently introduced a new measure Service Performance Index, or SPI. As the name implies, it's a combined metric that reflects the actual service provided, and we believe it's a better measure than trip plan compliance alone. For those customers with specific transit commitments, we measure against that. And for the many customers who rely on our historical performance to inform their rail transportation planning decision, SPI provides a measure that aligns with this practice. 
 For the first quarter, both Intermodal and Manifest and Auto SPI saw a sizable 14 and 7-point year-over-year improvement, respectively. The team also delivered safety performance in the quarter, both on derailment and personal injury fronts. As we continue to emphasize the culture of safety, we're also investing in technology and process, ensuring our employees have the tools they need to operate safely and efficiently. Our goal is clear, we want to lead the industry and drive tangible change so everyone goes home safely each day.
 Now let's review our key efficiency metrics on Slide 13. While maintaining focus on enhancing safety and service, it is equally crucial that we do so in a cost-effective manner, enabling Kenny and the team to compete in a broader range of markets. In alignment with this objective, we saw year-over-year improvement across all of our first quarter metrics, indicating that the efficiency of our railroad is on the right track. 
 Locomotive productivity improved 10% compared to first quarter 2023, as the team continues to run an efficient operation and a transportation plan that requires fewer locomotives to satisfy the demands of the business. In fact, we have reduced our active fleet by about 500 locomotives compared to last year.
 Workforce productivity, which includes all employees, improved 1% as average daily car miles declined slightly and employees decreased 2% compared to 2023. While overall workforce counts declined, our train, engine and yard employees increased 4%, as we continue to support our training pipeline, scheduled work agreements and provide the capacity buffer necessary to navigate an ever-changing environment. 
 Train length improved 1% compared to first quarter 2023. After a particularly challenging January due to winter weather, we quickly adjusted to set train length records in both February and March. Notably, manifest train length increased by around 300 feet. While train length increased for nearly all train categories year-over-year, declines in intermodal shipments, which generally move on longer trains, moderated sequential performance. 
 Although we are encouraged by these results, there are ample opportunities ahead for us to further improve asset utilization and the efficiency of our network. For instance, we are leveraging technology to automate terminal functions and engineering renewal activities, increasing energy management utilization to improve fuel consumption and developing car plan optimizers to reduce car touches. While these are just a few of key initiatives, running a safe, reliable and efficient railroad for all our stakeholders is vital. And as we move forward, we will continue pushing the envelope in our pursuit of industry-leading safety, service and operational excellence.
 So with that, I'll turn it back to Jim. 
Vincenzo Vena: Thank you, Eric. Turning now to Slide 15. Before we get to your questions, I'd like to quickly summarize what you've heard from our team. First, as you heard from Jennifer and Kenny, our volume outlook in some markets continues to be challenged. We are mitigating those challenges by driving efficiency in the network, which is driving stronger financial returns, and this provides confidence to start repurchasing shares in the second quarter.
 Kenny provided you with an overview of the first quarter volumes and laid out some updated thoughts for the year. Coal is going to be a headwind. It is what it is. We need to outperform what our markets give us naturally to offset that impact. And if we provide the service we sold to our customers, I'm confident they'll grow with us. It's also imperative that we generate pricing for the value we're providing our customers.
 Lastly, Eric walked you through the progress we're making across safety, service and operational excellence. When I look at how we're performing, I see improvement across the board. The network is operating fluidly and efficiently, allowing us to meet the demand in the market. And that drove the financial success, as you saw here in the first quarter. There's certainly more to do, but we're on the right path.
 At the end of the day, we're demonstrating continuous improvement, getting a little better each day. In the long run, our focus on being the best across the spectrum will generate sustainable long-term value for the years ahead. 
 One final item for you all, a Save the Date. We are planning an Investor Day on September 18 and 19 in Dallas, Texas. More details to follow, but we're excited to lay out more of our vision to demonstrate what's possible for this great company of ours.
 And with that, Rob, we're ready to take on some of the questions. 
Operator: [Operator Instructions] And our first question comes from the line of David Vernon with Bernstein. 
David Vernon: So it seems like the operations are working pretty well, Jim. I'd like you to maybe talk about kind of what you're doing with Kenny and his team to start focusing on growth that's maybe different or hasn't been done at UNP in the past. We know there's been a couple of the joint services with the CN and the Falcon and stuff like that. But internally in terms of focusing the team on more business development efforts, can you just kind of talk to us a little bit about what kind of changes you're making or what kind of initiatives you're emphasizing to start driving a little bit more growth on the networks? 
Vincenzo Vena: You bet. David, thanks for the question. And I'll just summarize real quick what we're doing. And then, Kenny, maybe you want to get into a little bit more of the specifics, okay? So if we look at what we're doing on the railroad side, and that's very important in how we're going to be able to grow and grow with our customers is our customers -- some customers we have expect speed and resiliency in the model. And others, it is -- speed is less of a concern. It is consistency in the model. So if you take a look at what we're doing, we are building the fundamental blocks that we are able to provide a service like no one else. We can go from and we're out there selling it. So in the high-speed market to market, we have a service that operates very high speed, 2,000 miles in less than 2 days, that makes us competitive against other modes of transportation.
 If we look at the consistency, we want our customers to win. And the best way for us to grow is with the customers that we have, whether it's the automobile business that we handle, whether it's the export business that we handle, whether it's in the Gulf, whether it's our access into Mexico and our interchanges with the other railroads and how we can originate, and we all win together. So we're doing all of that. I'm spending -- Eric might say, I'm not -- he wishes I would spend more time on some other things, so I still look at the operation. It's still there. I think there's a lot more that needs to be delivered.
 And when you do an analysis, and the way I like to do a regression analysis on what the operation is like, I'm comfortable, but there's more to do. And the pressure is on to be more consistent and faster and be able to deliver a better service product. We do that, we win. But I've also spent a lot of time with Kenny and his team and myself personally, meeting with customers, understanding what they need to win, our present customers and future customers. And I think we continue down this path with consistent service. And the value that we can provide to customers for them to grow is such that they want to partner with UP, and we want to partner with them because we want our customers to win, and I really like where we are. And if we can keep this consistency, David, going, which I'm very confident we can, then I think, Kenny, I hate to tell you, it should be pretty easy for you to grow the business in a way you go. 
Kenny Rocker: All right. So look, David, you hit it on the head. What are we doing differently? And I just want to talk to you about some of the product development that Eric and I and our teams are doing together. You look at the Phoenix ramp. We're excited about it. We're seeing that volume come in there and grow sequentially. It just gives our customers and BCOs more optionality.
 Port of Houston is one. We put that service back on. We've been excited about the growth that we've seen come out of there, and we'll continue to add on to the destinations that are there. We started off with 5, now we're at 11. You look at Inland Empire, we just added on a new product there. Now we're going to 20 cities, east of Chicago with the CSX and the NS on the unit train side. Because we are seeing the cycle times improve, we're naturally getting more volume, so we like that piece.
 On the finished vehicle side, you talk about product development. business that's coming off of the water that's getting land bridge that we're moving back east. Look, this lower cost that we have really opens up new markets for us at great margins. So we're on offense. I mean we're pushing every lever we can to get business onto our network. We got a beautiful franchise, as Jim mentioned, and we're taking advantage of it. 
David Vernon: All right. If I could maybe squeak one quick follow-up. How is the FXE performing with the extra volume? I know south of the border, there's been a lot that shipped over onto that. And then, are you thinking about sort of expanding capacity over the Eagle Pass Gateway to maybe accommodate future growth out of Mexico? 
Vincenzo Vena: David, real quick, I've spent a lot of time, I think I've made like 8 or 9 trips down to Mexico already in the 8 months I've been here, working very closely with FXE with our ownership position in them. We know where the points of concern are. FXE has done a good job of identifying what they have to do, and I think they run a good service product. They're going to continue with the same goal as we have to strive, and we're working together on it. In fact, in a couple of weeks, I'm going to ride a train, head end of a freight train, down on the FXE to take a look at their railroad even more.
 The border, we have processes in place to make it easier for our crews to not stop right at the border and get trains across, which just makes sense, just like between Canada and the U.S. at International Falls. So we are in the process of cleaning up those items that limit the speed and the efficiency for our customers to get across the border. So I'm very happy to see where we are. And we're trying to work as one railroad. I don't like to give other railroads my excess locomotives, and you can understand why, I don't have to explain it. But we have provided FXE some locomotives to make sure that they can move the traffic that's out there. And they've seen a large growth. Their number is -- I'll let them give you the exact number, but the -- we see growth in Mexico, both northbound and southbound, and that's a market we want to use those 6 touchpoints we have to get into Mexico and optimize it for Union Pacific. 
Operator: Our next question is from the line of Justin Long from Stephens. 
Justin Long: So it was good to see the OR improve a little bit sequentially despite the typical seasonality that you see. And in the outlook, you talked about profitability gaining momentum. But can you help us translate that into how you're expecting the OR to trend over the balance of the year? It seems like we're tracking towards the sub-60 the rest of 2024, but is there anything on the horizon that could prevent that from happening? 
Jennifer Hamann: Thanks, Justin. We are not providing OR guidance, but -- so I'm not going to comment on your number. But I think the way that you're describing it in terms of what we expect from ourselves is to continue to make improvement. You heard Jim talk about the fact that we made good gains, but there's more to do. And that's really our focus, is to continue to do that quarter-over-quarter to make gains. Obviously, we're doing that in an environment that we can't totally control.
 We control a lot of things, especially about our service product and our cost structure and how we go into the market and how Kenny and his team are pricing, but we are doing that against an economic backdrop that's a little uncertain. We don't know what's going to happen with interest rates yet. So those are the things that do have an impact on us, including fuel prices. So just stay tuned. We feel really good about the setup and are very confident about our ability to perform. 
Operator: Our next question is from the line of Amit Mehrotra with Deutsche Bank. 
Amit Mehrotra: Congrats on the strong results. Eric, obviously, you and the team have done a phenomenal job with the operations and the metrics. We've kind of been stuck in this 155,000-ish 7-day carload number. I will be curious to get your confidence and perspective on how much more you can handle when Kenny gives you that to handle. How you feel comfortable about moving 5,000, 10,000 more carloads per week, if you can talk about that?
 And then just, Jennifer, related to that this question that was just asked, the weather gets better from 1Q to 2Q, you move more industrial carloads. It's a pretty meaningful advantage as you move from 1Q to 2Q, if you can just talk about any. And fuel, I think fuel noise moderates a little bit. If you can just talk about anything that I'm missing there as we think about from 1Q to 2Q that might be on the negative side of the ledger. 
Eric Gehringer: Good. I'll start with it, Amit. Thank you very much for that question. Now I want to be really clear right off the bat. We have the capacity to be able to handle more than 155,000 carloads. What brings us tremendous confidence is when you think about the 5 critical resources that we have. We clearly have enough terminal capacity. We clearly have enough mainline capacity. More specifically, we've talked about in the past and continue to maintain a buffer in our crew base. We have a couple of hundred extra crews based across the system that are available. As to your point, when that volume comes on, we have the crews.
 Locomotives, in my prepared comments, I said that over the last 12 months, we've been able to store 500 locomotives due largely because of the increased fluidity in the system. Those are available to us. As Kenny brings more volume to the railroad, we don't have to wait a week, we don't have to wait 30 days, they're parked across the system available to us.
 And then, of course, on the car side, we have cars not only spaced across the system that we call out the ready cars, but we actually have been working with customers in which we're storing cars right at their facility, so the moment they're ready to give us that load, we're ready to pick it up. 
 Now when you think about capacity, the final thing you have to think about is the work that we do on train lengths. We talk often about driving volume variable approach to how we operate the railroad. Train length is one of the ways we do it. At a 300-foot improvement in our manifest quarter versus same quarter last year, that's a huge lift. That's a massive accomplishment by the team. Building train length in the manifest network is one of the hardest things we do. What that tells you is if we're really good at the hardest things we do, as the intermodal volume starts to come back, we don't have to add train pairs on. We can take some of the latent capacity we have in our existing train peers and utilize it. So we're ready. 
Vincenzo Vena: So, Amit, the only thing I would add is, and you know, I've never given guidance on operating ratio because it's a result of how you operate the railroad, and that's really important. But ex-fuel, a 60.1% last quarter with where the volumes were, what we did with price and what we did with efficiency on the railroad, that's a pretty good number. It's okay in the way I look at the world. Some people would say it's excellent. I go, it's pretty good. 
 So I see moving us forward, and unless we get surprised, Kenny does his job properly, and we are able to return the proper price because of the great service and the product that we're delivering, and we continue to operate the railroad efficiently, and numbers underneath and the numbers that people don't see every day that I look at, make me very comfortable that we have a clear view of how we become more productive down at the ground level in this railroad driving decision-making closer to the people that need to make the decision and not trying to do it here in Omaha in like the headquarters.
 So, Amit, I'm not going to give a number, but I'm comfortable with where we're headed in the long term for Union Pacific. 
Operator: Our next question is from the line of Jon Chappell with Evercore ISI. 
Jonathan Chappell: Jim, I was going to ask just kind of where you left off. In January, you kind of admitted somewhat modestly that it would be difficult to improve the margin without a volume tailwind. And here you are with 200 basis points of core improvement with volumes down year-over-year. So what was the, I guess, change in the last couple of months? Eric touched on a lot of things, but how are you able to make such a huge improvement in such a short period of time? And what's your comfort in the sustainability of that when you actually do get a volume tailwind in the network? 
Vincenzo Vena: Well, let's start with the end of the question. I love volume, and I love revenue. So at the end of the day, that's really important to us to be able to drive it forward. And what we've done is we worked hard. It looks easy sometimes to operate a railroad and especially as complicated as the Union Pacific network is because it is complicated. It's not a linear railroad. It's very, very spread out in the way it operates. But I think we're focusing the people at the right level. We're doing the right things when it comes on the expense side and headcount and everything that's involved in it, making sure that we don't impact service. And I think we did a great job of it, and I can see us improve in every one of those.
 So Kenny is going to deliver, Eric is going to deliver and the rest of us are going to make sure that we do everything we can possible to make sure that this company moves ahead because if we can have better margins, it opens up markets to us, even more markets than what we have today. So that is the end game, and you basically have asked me what our strategy is, and I'm looking forward to delivering it in the next couple of years. 
Operator: Our next question comes from the line of Ken Hoexter with Bank of America. 
Ken Hoexter: Congrats for the team on some great results in a tough volume environment. But I wanted to dig into, maybe flipping Amit's question a little bit on the other side. You've been focused on these operations for 8 months now. I want to understand the more room to run, right? So you're getting service to where you want, but -- maybe is there a continued ability to pull out locomotives and cars as you continue to get more efficient? Maybe just give kind of some examples of -- Eric talked about increasing train life. Isn't there ability to go further before the volumes come online? But just -- PSR typically is, you focus on improving the service and then you get the ability to pull out the equipment and employees as you move forward, so maybe just talk about the opportunity to keep doing that. 
Vincenzo Vena: Yes. Listen, great question. And I'm going to give Eric to talk about how he sees and what's moving forward and Kenny, but let me just summarize the way I like to look at things is you always try to optimize the network operationally and look for ways to be able to drive efficiencies in the network. But the base plan always is what did we sell to customers, what did we tell the customers we're going to deliver and make sure that that's the base plan. And from that, you build it up.
 So we see improvements not only in train length -- we had a few more cars on every train, that's very efficient in the network. It allows us to have better capacity. But we also look at how we handle the terminals, touch points in the cars, how can we forward the cars without touching them for a longer distance.
 And the next piece for us is how fast we can react to our train plan so that it takes us way too long right now and to be able to adjust our train plan so that we still provide the service that we sold. So we have tools in place, and we're developing them even further that allow us to change our plan in a much shorter period of time, in a few days or a week versus weeks so that we can optimize the railroad even more. So very excited about that, and I see that as being a positive step.
 Eric, Kenny, anything to add? 
Eric Gehringer: I'll start building up with that. So, Ken, to Jim's point, when you look at our quarterly performance from a dwell perspective, and we had a 5% improvement in our car dwell during the quarter, that's a full half of 1 hour off of every car on the Union Pacific. That's how we are able to move the cars faster. Now when you think about that going beyond that, to Jim's point about being agile, we took out 4,000 touchpoints just in the first quarter as we looked for more and more ways to be able to modify the transportation plan to move the cars faster.
 Now you build off of that and you start to get to the fundamentals of the railroad, the improvements we've made in recrew rate. There's still opportunity there. Certainly, our investments in technology, both with [ RCO ] as well as [ Mobilinx ], that's about getting more productive in the yards. Even when we think about the brake-person deal that we signed last year that we spoke about working to ensure that we have capitalized on all those opportunities. 
 We've talked about locomotives, 500 already out. We see more opportunities. You hit on train length to start your question, but also sometimes things we don't talk about, our purchase services, we made great progress, as Jennifer reported in the quarter on purchased services. We did that from everything from maximizing the material movement using trains instead of trucks to how many vehicles we have on the railroad. 
 You've seen what our headcount has done over the last year. We've aligned our fleet from a vehicle perspective to that, to about 600 vehicles coming out. So everything is in play right now, Ken. We look at it every single day. We work through it every single day. And the biggest thing that we're looking for is how do we ensure that we make meaningful changes to not only improve our service product, but also make us safe while we drive financial success. 
Vincenzo Vena: Ken, anything to add? 
Kenny Rocker: I mean we talked about the efficiency. It shows up in the product development that we talked about. It shows up in all these small discrete things like adding more cars right at the customer's plant and asking for more business by customer, by plant. 
Operator: Our next question is from the line of Ravi Shanker with Morgan Stanley. 
Ravi Shanker: So the 3.5% price/mix number in 1Q, kind of how do you think about that over the course of the year? And obviously, puts and takes on the macro, truck pricing, et cetera, and some movements in the mix side as well. So how do we think the number evolves? 
Jennifer Hamann: So -- we're probably not going to give you a number, Ravi, which isn't going to surprise you, but I'll let Kenny talk to the markets. But just from a mix perspective, with intermodal probably staying weak through most of the year, that probably is going to give us the ability to have some positive mix within our business as we think about that for the rest of the year. Kenny? 
Kenny Rocker: Yes. I've been very encouraged and proud of the commercial team and the conversations that they're having with customers on price, articulating the inflationary pressures that are there and working with those customers to price to the market, taking a little bit more risk to price that business. And at the end of the day, our service product has improved, as you can see in the results, and we're talking to our customers about that and aligning that with the capital investments we're making. So it is not a coincidence or by luck, we are having very deliberate conversations with our customers. 
Ravi Shanker: Understood. And if I can squeeze a super quick follow-up kind of, I think you had said in other revenue, there was a contract settlement and there's a claim settlement and other expenses as well. Is that the same one? Or Are they 2 different ones? 
Jennifer Hamann: Those are 2 different ones, Ravi. 
Operator: Our next question is from the line of Brian Ossenbeck with JPMorgan. 
Brian Ossenbeck: Just wanted to kind of follow up on that last question from Ravi. In terms of just the mix, it sounds like it's getting better from here. Maybe, Kenny, you can give us some color in terms of the pace of renewals as it was always going to take a bit of time to touch through the rest of the business and services helping with that momentum. So it would be helpful to hear that. 
 And then just secondarily, similarly on the labor agreements in coal, like are both of those with coal network rightsized to the big drop you've seen right now? Or is there a little bit more to do? And on the labor side, you obviously had some new agreements to adjust for as well. So just trying to figure out where those 3 things stand in terms of where they are now and sort of looking at the rest of the year. 
Kenny Rocker: Yes, I'll start off. Thanks for the question. I said that back in January, it's not like we woke up January 1 and started deciding that we needed to have these deliberate conversations with customers. These started well early last year. And we've shared this. We can touch close to half of our price annually. The other half is in multiyear deals. I touched on it a little bit, about the deliberate conversations that we're having, the risk that's out there. And then I'll talk about a couple of markets. 
 You look at domestic intermodal, those spot markets, if you look at it, here where we stand today, they are the same that they were from a spot market perspective last year, so this has been a long time, same thing on the contracted rates. Those contract rates have been where they are for a long time, over 8 months. And so the good thing, if you're an optimist like I am, there -- you know you're at the trough, but the thing you don't know is when things will improve or get better. And we're not in a position where we're going to forecast that they -- when that will happen.
 What I will tell you, and I talked about the product development already, we're prepared. We're ready. We're working with Eric's team, and we're bringing on more volume that comes on. And so we'll see what happens there, but I can tell you that we're prepared and excited. 
Eric Gehringer: And Brian, to your question about crews and the coal lines, so every single week, we review every board across the system. And we're looking, just as you pointed out, for changes in the market that shows up an increased or reduced demand. We've made adjustments. We'll continue to make adjustments.
 And it reminds me to make sure that we remind ourselves a year ago, we were talking to all of you about 200, 250 borrow-outs across the system. For the third month in a row, we have 0 borrow-outs across the entire system. Now that doesn't mean that with some seasonal adjustments to some business like grain harvest, we might put some out there, but it's a massive accomplishment, and I give the team credit for it because they've been able to manage the crews in a way that we don't have any borrow-out. So agility, all day long. 
Operator: Our next question comes from the line of Jordan Alliger with Goldman Sachs. 
Jordan Alliger: You've alluded to this a few times this morning, but productive and cost takeout, certainly seem better than we would have had in our model, particularly in areas such as PT, which you have alluded to as well as the rents. Can you maybe talk to some of the sustainability of the current trend line? Because it was quite a bit of a delta versus what we've seen lately as we move forward from here. 
Jennifer Hamann: Yes. Jordan, thanks for that question. So I think you're right. You're hearing a lot of positivity by the team because we know that there are more opportunities. And first, it's building the momentum, it's sustaining the momentum and then keeping the cost out. And so if you think about equipment rents, that really is all about continuing to drive the car velocity, continue to drive the cycle time and the dwell that Eric referenced. So those are directly impacting that line.
 And then purchased services, certainly, the locomotive fleet is a big part of that, as we continue to use our locomotive fleet more protectively and reduce those numbers, that's an opportunity to sustain and potentially improve there as well as across the rest of the contract services that we use, is we're being smarter and looking deeper at every dollar that we're spending. And that's been one of Jim's messages to the team is, when you're looking at the resources, spend the dollars like your own and make sure that it's a wise dollar that's being spent and that you're getting the appropriate return for it. So feel good about continuing to make progress. 
Operator: Our next question is from the line of Brandon Oglenski with Barclays. 
Eric Morgan: This is actually Eric Morgan on for Brandon. I just wanted to ask another one about mix. I appreciate the detail on the impact to yields, but I was just curious if you could speak to any effects on margins just because with coal being down, big drag on volumes right now in international intermodal as well. Should we be thinking these sort of mix swings helped to drive the strong OR in the quarter? Or is it really just an RPU impact? 
Jennifer Hamann: Yes. Thanks for that question. So mix does help on the RPU. And when we think about mix, there is some different mix in terms of the cost profile that's behind that. Our opportunity and our job is to improve the profitability of every line of business that we have. And so we are very proud of our manifest franchise. That's really our sweet spot for sure. But as Eric talked, intermodal, grain, coal, those are very profitable businesses for us as well to the extent that we can drive greater train length, So -- I'm not going to say we're totally agnostic, but we want to grow, and we want to grow across all lines of business. And so I think if you see us do that, you're going to like the margins that come from them. 
Vincenzo Vena: You bet. And just to sort of -- why don't I summarize the way I look at the quarter and what we see moving forward? First of all, if you look -- if you take a look at our results, our industrial, and that's what I love about Union Pacific is our industrial originations, the Mexico product that is non-intermodal, which gives us a different level of return and price capability, is strong. And that's what we want to see. And that was -- that's what helped us in the first quarter, and I can't see that changing, except I just don't know where the macro items are going to be in the short term in the U.S.
 I was hoping with all the products that we ship and handle for people and consumers that I would have seen an interest rate cut in the next few months and maybe it will happen later on this year. So an interest rate cut would help us in what people are spending on their homes from lumber and number of products. But if you take a look at where we are, and that's what I like, we leverage that franchise we have in the Gulf in originations in the middle of the heartland of the United States.
 And we always look for ways to improve our efficiency. We drive better return with whatever price we get out of the international and domestic business. And every time I see a train full of box cars and tank cars, it's music to my ears when those wheels roll by. So thank you very much. 
Operator: Next question comes from the line of Jeff Kauffman with Vertical Research Partners. 
Jeffrey Kauffman: Congratulations, this quarter, a tremendous result. I wanted to take a step back, a question for Kenny. What are you seeing in terms of customer commitments to near-shoring or rebasing manufacturing? And then in terms of coming back to the rail, your service metrics are up. And clearly, there's a flywheel effect there, but what are your customers telling you they need to see, those that maybe took business away before they would bring that business back? 
Kenny Rocker: Yes. Thanks for the question. On the near-shoring piece, it's real. You've seen the amount of investments that's there. We've got a strong commercial presence that's there, and you look at the overall rail, I'm talking the rail industry market share into and out of Mexico, is still relatively low if you put it in the mid-teens or so.
 Our new service product that we have in place at this time has been picking up steam and we've seen it grow. We've seen it grow in that North-South corridor. We've seen it grow in the traffic that we put on, the new product that we put on going in the Southeast, so tremendous growth there.
 There is also a more carload business that will come online and more plants that will come online, some of them for some of the autos that are going to come on and some just other what I'll call just industrial pieces. We're set up for that. We're engaging those customers. Our network strength and franchise gives us an opportunity to move a lot of that, both the feedstocks in Mexico and the finished product out of Mexico, so a very strong place for us, the 6 gateways. We had a great quarter coming into and out of Mexico, and we want to build on that.
 As far as those customers coming back to us, with every month that we are able to sustain and ensure reliable product, we're able to capture a little bit more business, but we're also able to sit down with them and talk to them about adding the 1 or 2 carloads or talk to them about a truck lane piece or talk to them about their rail versus truck by lane percentage. So the stronger service product is certainly a positive for us, and our commercial team has been very aggressive out there hustling to get every carload. 
Operator: Our next question is from the line of Tom Wadewitz with UBS. 
Thomas Wadewitz: Nice performance on the OR and the network and everything, so congratulations on that. I wanted to just get a little more color, I think, Jennifer or whoever else wants to jump in on the expense side, I know you've got a couple of questions, but comp and benefits, how do we think about that going forward? Is headcount stable? Did that go down a little bit?
 And then on the purchase services line, I know, kind of storing locomotives, cars, that's helpful, but is that -- should we model that kind of flat looking forward? Or I guess you said there's a onetime where you didn't identify whether that's kind of small or meaningful, so I think just from a modeling perspective. And -- is there kind of further improvement? Or how do we think about it sequentially on comp and benefits and purchase services? 
Jennifer Hamann: You bet, Tom. So let me start with the purchased services. So I think I did say that the one-time item there accounted for about half of the year-over-year decrease. So you should set that aside when you're thinking about rolling that forward. But again, as you heard me talk on another question, we still obviously think we have opportunities there.
 If you switch to comp and benefits then, back in January, we said we thought that we would probably see about a 5% increase in that line for the year. We were at 4% here in the first quarter, so really kind of right online there. And I think you know the drivers, they're wage inflation, they're the sick pay benefits, some higher guarantee pay, offset by what we're doing to improve our overall productivity and how we're managing the headcount.
 When you think about those new contract benefits in terms of the sick pay, it's also -- when we're rolling out the work rest agreements, that is resulting in a little bit of an elevation in terms of our TE&Y headcounts in anticipation of those benefits. And so really, the way to think about that is that we're paying a little bit more due to those agreements for the same unit of work. But I think what's encouraging there is we're offsetting that with some of our productivity, and that's our plan going forward. 
Thomas Wadewitz: Okay. So that kind of comp and benefit plan probably is stable is the right way to look at it? 
Jennifer Hamann: Yes. I mean, obviously, if there's a significant change up or down from a volume perspective, that can have an impact, but I think we feel like we're in a pretty good place right now. 
Vincenzo Vena: It's a great way to look at it, Tom, in the short term, you'll see in the next few quarters. But the challenge, and one that we know that we have to tackle, is we have wage inflation. You deal with that absolutely, and you have a great service product and you price properly. I think we're doing the right things there so that we don't impact our customers to the point where they can't win in the marketplace.
 But efficiency-wise, if you look at how the number of cars we're switching for employee and everything that we're doing with technology, I'm very comfortable that we'll figure out a way to change that slope on that line on what it costs us and the number of people per car to be able to hand the business level that we're at. So a little bit -- it's a lot of hard work, but I see over the next couple of years for us to get back in line to where we were. 
Operator: Our next question is coming from the line of Bascome Majors with Susquehanna. 
Bascome Majors: The owners of your Western competitor made some very public comments about really wanting more margin and profitability out of that business just a few months ago. Can you speak to if you've seen anything different in either how they approach the market or operate their business? And is or can that create opportunities for you to grow in the midterm? 
Vincenzo Vena: Bascome, it's a great question. And did I like to hear that? Absolutely. But because I think we're in an industry where we provide for the price that we charge very competitive and we beat most modes of transportation. So I think you need to be smart on how you price, and I think you need to make sure that we provide the service for that price that we sold. 
 So we compete every day against our competitor, and we're here to win. And hopefully, they're prudent in the way they look at their markets, and I don't tell them what to do. They need to do theirs. And we're very comfortable that we're doing the right things. And I think head-to-head, we'll put our complex of what we have, including the Mexico piece, and I think it gives us a great opportunity to compete. And you have to love it, great competition against the great. The railroad is a wonderful thing. I love it. It makes us better. It makes the whole industry better. So I love the comments, but we'll see what their actions are as we see them go down the road. 
Operator: Our next question is from the line of Scott Group with Wolfe Research. 
Scott Group: So Jennifer, Kenny sounded a bit better on price. I know last quarter, you talked about price/cost is a margin headwind for the year. I'm just wondering, are we getting any closer to that becoming a tailwind, right, if we can combine some of the productivity stuff with price/cost that the margins could get pretty good. I just don't know if we're getting closer to that inflection yet. And then can you just clarify that if we've seen the full impact of the coal RPU headwind from lower nat gas, or if there's another step-down coming there? 
Jennifer Hamann: Yes. I'll let Kenny talk -- take that coal question. But you're hearing it right. We're putting a lot of pressure on Kenny and the team to go out there and deliver the price, and they're very much stepping up to that and are taking on that challenge and being aggressive in the marketplace. Obviously, we improved our margins in the quarter. So the combination of our volume, which was down a little bit, but price and productivity is what's driving the margin improvement. I can't say that we're accretive yet from just a pure price inflation standpoint, but that absolutely is the goal. We are though exceeding, just the dollars are exceeding the inflation dollars. We're still very confident of that. Kenny? 
Kenny Rocker: Yes. I just want to reiterate what Jennifer said, we'll exceed our inflationary dollars. On this coal question that you have, we're looking at the same things. You're looking at in terms of the natural gas futures, and we're talking to our customers, similar to my comments around domestic intermodal. Yes, I think we're at the trough levels, when they will come up is yet to be seen. They're still depressed. We'll see if we get some seasonal lift here going into the spring and the summer. I want a hot, muggy summer so we can move more business. But if that doesn't happen, we'll see what Eric and the team to do for us to efficiently move the coal business. Thank you for the question. 
Vincenzo Vena: I'm telling you, and I have to jump in on this one here, Kenny and team and everybody, coal is what it is, and I said it in my prepared comments on purpose. We have other markets that are going to take care of that coal business. It's tough to replace the number of the trains that we originate, but we used to originate a heck of a lot more than we do today, and we need to be able to grow it. So we can hope, and I'm not into hope. I'm into, let's go out there, deliver, have the right processes, have the right things possible, and we go deliver and we win.
 And I've spoken about our franchise a few times on this call. That's what allows us to win. We provide good service and will more than offset anything that happens over the long term with coal. It is what it is, okay? I don't see it coming back to a large level that it will change us. It might do it for a short term, but that's the way I look at it, and that's the way the team here at Union Pacific is. We're going to win regardless of what happens to one commodity that we ship. 
Operator: Our next question is from the line of Stephanie Moore with Jefferies. 
Stephanie Benjamin Moore: So, Jim, really nice progress here across safety and service. So in terms of customer engagement post these improvements, what are you hearing from customers? Are you seeing engagement accelerate at all? Kind of what's the opportunity from here? And then maybe on the flip side, I'd love to hear, have you noticed any challenges to the network, maybe revenue holds looking to fill that, that were maybe less apparent? I'd love to get your thoughts. 
Vincenzo Vena: It's a great question. I think it's -- when I came back to work, a lot of people thought that the only thing I'd concentrate is on operations, and I have been spending some time there. But I have spent a lot of time speaking to customers. I did it the first week I was on the job. I've followed up with them. I've gone to meetings when we bring them in, our Industrial, our Bulk, our Premium business. 
 So the feedback is they want us to win, and they see themselves winning in the marketplace if Union Pacific can be successful in what our strategy is. So the feedback has been positive. There's always some markets and some customers that we have to truly understand what their impacts are and where they are because we want them to survive and win. So we're doing everything we can. And maybe, Kenny, you can speak a little bit more about our engagement and what we're doing with customers. 
Kenny Rocker: Yes. If you look at it, so far this year, our face-to-face meetings, the strong customer engagement strategies. We have a lot more, significantly more contacts with customers, and we're touching them in different ways. One of the unique strategies that we have as I'm looking at Eric, 1/3 of our meetings have an operating leader or a local operating person is there. And we're doing that to see how we can grow more business specifically. So strong customer engagement strategy at all levels, and we're going to keep at it. Thanks for the question. 
Operator: Our next question is from the line of Elliot Alper with TD Cowen. 
Elliot Alper: This is Elliot on for Jason Seidl. My question is on international intermodal. So the outlook calls for pretty muted international intermodal for the year, I guess. We would appreciate some more context around that. I mean, I understand there was a customer loss that you called out last quarter. We've seen some strong volumes coming out of the West Coast ports, I guess. Should we continue to think about that continued acceleration on the West Coast mostly offset? Or could there be some upside if the strength on the West Coast continues? 
Kenny Rocker: Elliot, thanks for the question. So a few things here. Let's set aside the contract loss you referenced. It's been strong. International intermodal has been strong for us, a little bit of a pleasant surprise for us that we've been able to capitalize on it. We're seeing more IPI business or business that's going into our network increase by a few points. We are aware that there has been a small impact on the positive side because of some of the challenges with the Panama Canal. We'll see what happens if some of the BCOs are a little bit more concerned with any labor issues on the East Coast.
 But as we go through the second quarter, I feel pretty good about those volumes staying where they are, as we talk to our customers in their pipeline. I'd like to see as we move a few weeks out what happens in the second half of the year. So I'm not ready today here in April to bet on what's going to happen in the second half of the year. 
 The last thing I'll end with, and I've said this quite a bit, I do like the fact that regardless of what happens at the West Coast, we're preparing for if it does get transloaded, more products were to get to the East Coast that I talked about, those 20 cities that will move with the NS and the CSX, our Phoenix product and us being holistically and leveraging the entire franchise to go after more business out of the Port of Houston. Thanks for your question. 
Operator: The next question is from the line of Walter Spracklin with RBC Capital Markets. 
Walter Spracklin: So I want to take a little bit of a bigger picture on the competitive environment and how you interact with your competitors, both East and West. When we were at -- we were attending a recent session with the -- with Southern campaign, they called out the CP, KCS, CSX as a natural alliance. Just curious whether you see yourself as naturally being able to cooperate, coordinate operations to bring a more effective, higher service product to your customers. 
 Is there one company in particular or -- that you could align a little bit closer with given the network interplay between the companies? Just curious what you're thinking about longer term in the absence of acquisitions or mergers. Could there be increased cooperation that allows you to bring a higher service to the customer? 
Vincenzo Vena: Walter, I appreciate the question. You have to think about it that 40% of the traffic that we either originate or receive starts somewhere else. So when you put that number in perspective, we can't be choosy and say that we'd rather partner with one Eastern railroad or one Canadian. I guess, I can't call CP or CN Canadian railroads anymore. I apologize to both of them, but international railroads. And what we need to do -- and all the short lines that we touch. The way I look at it is what is the best and the fastest and the quickest. So if we're all efficient, we all have good service, we all are smart in running a very fluid railroad that has buffer to be able to handle the ups and downs that naturally occur, Walter, we all win. So I don't have a preference.
 Now I love it that we get to compete with some of them, and we say, we originate lots of many cars, and we say to them, which one wants the business, is it CSX or NS or is it CN or CP. And I think we compete on some. But when we work together, which we are, we have very detailed meetings with CPKC, with CN, with NS and with CSX to talk about on that interline business, how do we make those interchanges fluid, so we don't spend 24 hours to interchange cars at some interchange when we go one way or the other. So we can win and beat trucks, especially in that speed network that requires that kind of work. 
 So, Walter, no preference, best one wins, and we want to be able to tell people, you want to interchange with us because -- versus the other carrier in the West, the BNSF because we have the best model, we are the fastest, we can get the markets and we move quick. And once we get there, because the customer looks at it end-to-end, how good are you at origination, are you on time, how fast you get it over the road. And that's why I look at the -- I don't look at train speed, it's an illogical measure on productivity on the railroad. I look at car velocity, and that's what's important. So hopefully, I answered your question, Walter. 
Walter Spracklin: It does. Congrats on a great quarter. 
Operator: Our final question is from the line of Ben Nolan from Stifel. 
Benjamin Nolan: And as much as we, you guys don't want to talk about specific markets. One of the things that I've been hearing about lately a lot is more crude by rail. Kenny, I was wondering if you could elaborate a little bit on that. Is that something that you guys are seeing? And as you think about sort of the outlook going forward, how needle moving is that to the business? 
Kenny Rocker: Yes. Thanks for the question. You heard my comments around our petroleum markets and business development wins there. And it's a type of oil that we're moving that we're excited about, and it's moving right now domestically. We've seen some strength. Eric's team has been able to help us grow a little bit of that business and get as much of it as we can. So we don't see that kind of traditional crude by rail that we saw 10 years ago, but we're seeing another emerging commodity in the market that we're excited to be moving, and it's going great for us. 
Vincenzo Vena: Rob, just let me -- if that was the last question, let me just summarize real quick because I think there's a few key points that I want to make sure that we highlight. One is, I think, the last 2 quarters have shown what's possible for this railroad. And that's really important to us is what's possible. We will have headwinds. We have a wage increase coming July 1. That's a headwind.
 We have certain segments of our business that are down and can be up and others that are up that are going to impact us. But the way we look at it, and I'm so proud of this entire team and the entire railroad, if you look at what we're doing is we're making ourselves more efficient, we're driving decision-making to the right level, we're providing service that we sold our customers at a high level. And the franchise that we have and the network that we have gives us every possibility to win in the long term. That's the goal.
 I'm looking forward to in September deep diving what we look like in the next 2 or 3 years, have a longer-term plan for everybody. And I'm sure I'm going to run into some of you before. But, otherwise, looking forward to the next quarter that closes. April is a great start with where our carloads are, and this is a great railroad, great franchise, and I'm looking forward to moving it forward.
 Thank you very much for joining us today. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.